Operator: Welcome to Hayward Holdings, Inc. fourth quarter 2024 Earnings call. My name is Christine, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. During the question and answer session, if you have a question, please press star and one on your touch-tone phone. Please note that this conference is being recorded. I will now turn the call over to Kevin Maczka, Vice President, Investor Relations and FP&A. Mr. Maczka, you may begin.
Kevin Maczka: Thank you, and good morning, everyone. We issued our fourth quarter 2024 earnings press release this morning, which has been posted to the Investor Relations section of our website at investors.hayward.com. There, you can also find an earnings slide presentation that we will reference during this call. I'm joined today by Kevin Holleran, President and Chief Executive Officer, and Eifion Jones, Senior Vice President and Chief Financial Officer. Before we begin, I would like to remind everyone that during this call, the company may make certain statements that are considered forward-looking in nature, including management's outlook for 2025 and future periods. Such statements are subject to a variety of risks and uncertainties, including those discussed in our most recent Form 10-K and 10-Q filings with the Securities and Exchange Commission, that could cause actual results to differ materially. The company does not undertake any duty to update such forward-looking statements. Additionally, during today's call, the company will discuss non-GAAP measures. Reconciliations of historical non-GAAP measures discussed on this call to the comparable GAAP measures can be found in our earnings release and the appendix to the slide presentation. All comparisons will be made on a year-over-year basis. I will now turn the call over to Kevin Holleran.
Kevin Holleran: Thank you, Kevin, and good morning, everyone. It's my pleasure to welcome all of you to Hayward Holdings, Inc.'s fourth quarter earnings call. I'll begin on slide four of our earnings presentation by highlighting a tremendous milestone: our 100-year anniversary of the company's founding in 1925. As we celebrate this achievement, we reflect with immense pride on our journey from the founding by Irving Hayward as a tool and die maker to Oscar Davis acquiring the business in the 1960s and entering the pool market, to the global public company we are today. For a century, we've served our customers with outstanding products and services, and our centennial celebration is a testament to our resilience and past accomplishments. Our company has a solid foundation for future growth and value creation. We are extremely excited about the long-term prospects for the pool industry and our ability to execute our growth plans. Turning now to slide five of our presentation for today's key messages. I'm pleased to report strong fourth quarter results significantly exceeding expectations. We finished the year on a high note with better than anticipated end-quarter demand, plus robust early buy orders for the upcoming 2025 pool season. This resulted in solid sales and earnings growth, margin expansion, and increased cash flow generation. Net sales increased 17% for the quarter and 6% for the year through positive contributions from both volume and price. Gross profit margins expanded to record levels, and full-year free cash flow increased 22%, exceeding our guidance. Solid profitability and cash flow enabled us to reduce net leverage into our targeted range of 2x to 3x, while completing accretive capital deployments for early debt repayment and a strategic acquisition. As I reflect on 2024, it was a successful year for Hayward Holdings, Inc. I'm proud of the performance of our team in a challenging global environment. And I'd like to thank all our valued customers and vendor partners for their efforts during the year. In addition to delivering solid financial results, we further strengthened the senior leadership team and executed key strategic initiatives to position us for profitable growth. This included expanding our customer relationships, advancing our technology leadership position with the introduction of innovative new products, and leveraging our operational excellence capabilities. I'll discuss our accomplishments in more detail in a moment. Moving to 2025, we expect to deliver sales and earnings growth on a full-year basis in a continued dynamic operating environment. For the full year 2025, we expect net sales to increase approximately 1% to 5%. Turning now to slide six, highlighting the results of the fourth quarter and full year. Net sales in the fourth quarter increased 17% to $327 million, driven by price and a double-digit increase in volume. By segment, net sales increased 20% in North America and 2% in Europe and the rest of the world. Gross profit margins expanded 220 basis points year over year and 170 basis points sequentially to a record 51.4%. Adjusted EBITDA increased 30% in the fourth quarter, and adjusted EBITDA margin was a robust 30.2%. Adjusted diluted EPS increased 35% to $0.27. For the full year 2024, net sales increased 6% to $1.52 billion, and adjusted EBITDA increased 12% to $277 million, each exceeding our most recent guidance. We delivered strong profitability with gross margins exceeding 50% for the first time on a full-year basis. Adjusted EBITDA margin for the full year was 26.4%, and adjusted diluted EPS increased 20% to $0.67. Turning now to slide seven. I'd like to share some perspective on the year. 2024 was a successful year for Hayward Holdings, Inc. despite the macroeconomic challenges faced by the pool industry. We delivered on our financial commitments and strengthened our position as a premier company in the industry. As a technology leader, we increased investment in both R&D and engineering to support our commitment to innovation. We successfully launched several differentiated products during the year. Two great examples of new innovations are the Microchannel Temperature Control Unit, an industry-first single-unit product offering the ability to both heat pool water and cool it as well as 40 degrees for a cold plunge. Secondly, our proprietary OmniPro app, a cloud-based productivity tool for trade professionals enabling real-time remote monitoring and equipment configuration. We're excited by the adoption of these unique products in the marketplace. Hayward Holdings, Inc. has a long-standing culture of operational excellence and continuous improvement. We demonstrated our capabilities again in 2024, consolidating our manufacturing footprint in Spain, investing in automation and productivity initiatives, and expanding gross margins. As a testament to our product and operational performance and the value we provide customers, Hayward Holdings, Inc. was recognized during the year by the largest global distributor with separate awards for both innovation leadership and operational excellence. On the commercial side, we increased investment in customer care, leveraging new technologies and tools to enhance customer experience. We upgraded our customer loyalty programs, rewards trips, and partner summits to strengthen and expand our dealer relationships to help grow our respective businesses. We also launched Hayward Hub DFW in Texas, a first-of-its-kind Hayward training and support facility for dealers and trade professionals in this important growth market. During the year, we further strengthened the senior leadership team by appointing four accomplished executives to key positions within the organization. With these additions and expanded capabilities, I'm convinced we have the right leadership talent in place to execute our growth strategies. These achievements contributed to solid financial performance, including a return to sales growth and continued margin expansion. This enabled us to reduce net leverage while reinvesting in the business, repaying $123 million of our debt early, and completing the strategic acquisition of ClorKing, advancing our position in the commercial pool market. Turning now to slide eight. Following that review of 2024, I'd like to look forward and highlight the company's strategy to drive compelling growth and shareholder value. At our core, we are a products company. Our product management and engineering roadmaps are designed to deliver innovative, energy-efficient, automated solutions to transform the experience of water and increase the enjoyment of pool ownership. Leveraging best practices and capturing global trends, our teams are actively driving innovation and setting the pace for the industry. We are focused on creating customer advocacy for the Hayward brand, strengthening relationships with trade professionals, and in turn driving incremental growth. To enable this, our sales, marketing, and technical service teams continue to develop new value-added solutions for our trade professionals. Organizational changes and investment in our commercial teams allow us to further support, train, and develop our partners as well as attract new professionals to Hayward Holdings, Inc. The ClorKing acquisition was a key investment in our commercial pool product category. We are pleased with its performance and see many additional opportunities to grow this category with focused leadership and new product introductions. As we integrate ClorKing into Hayward Holdings, Inc., we are identifying cross-selling opportunities with our existing flow control team. We now have the opportunity to specify UV and chemical water treatment systems in addition to our core engineered thermoplastic valves into a broad and expanding water industry. We have a proven ability to drive margin expansion from already robust levels. Specifically, our gross profit margin expanded over 600 basis points in the last five years to 50.5% and nearly 400 basis points since 2021 despite reduced volumes as the industry normalized after the pandemic. We see the opportunity for further margin upside over the long term driven by four key pillars of our margin strategy: productivity gains resulting from our operational excellence culture, a higher margin mix of technology products, operating leverage given current low capacity utilization levels, and proactive price-cost management. Finally, as we've highlighted before, we maintain a disciplined and balanced approach to capital allocation, emphasizing organic growth investments and strategic acquisition opportunities to complement our product offering, geographic footprint, and commercial relationships. In summary, I'm confident we have the right strategy in place to drive profitable growth and compelling shareholder returns. And with that, I'd like to turn the call over to Eifion to discuss our financial results in more detail.
Eifion Jones: Thank you, Kevin, and good morning. I'll start on slide nine. As Kevin stated, we are very pleased with our fourth quarter financial performance. Net sales increased and exceeded expectations. We delivered outstanding margin expansion and generated better than expected free cash flow. Looking at the results in more detail, net sales for the fourth quarter increased 17% to $327 million. This was driven by a 12% increase in volume, 4% positive net price realization, and a 2% contribution from the acquisition of ClorKing completed in June. Gross profit in the fourth quarter increased 23% to $168 million. Gross profit margin increased 220 basis points year over year and 170 basis points sequentially, to a quarterly record of 51.4%. Adjusted EBITDA was $99 million in the fourth quarter, and adjusted EBITDA margin increased 300 basis points to 30.2%. Our effective tax rate was 14% in the fourth quarter, compared to 21% in the prior year period. The change was primarily due to timing of discrete items. Adjusted diluted EPS in the quarter increased 35% to $0.27. Turning now to slide ten for a review of our full-year results. Net sales for the fiscal year 2024 increased 6% to $1.05 billion. This exceeded our most recent guidance and was driven by 3% positive price realization, 2% higher volume, and a 1% contribution from the ClorKing acquisition. Gross profit for the full year increased 11% to $531 million. Gross profit margin increased 240 basis points to 50.5%, exceeding 50% for the first time on a full-year basis. Strong profit margins enabled us to reinvest in the business. In 2024, we increased research, development, and engineering investment by 5% to $26 million to support our commitment to growth and innovation. SG&A expenses for the year increased 12% to $261 million, driven largely by normalized annual incentive compensation relative to a comparable low result in the prior year. Targeted growth investments in selling and customer care and acquired ClorKing SG&A. Adjusted EBITDA increased 12% to $277 million, with adjusted EBITDA margin increasing 150 basis points to 26.4%. Our effective rate was 18% in 2024 compared to 20% in 2023. Adjusted diluted EPS increased 20% to $0.67 for the full year 2024. Now I'll discuss our reportable segment results. Turning to slide eleven. A review of our reportable segment results for the fourth quarter. North America net sales increased 20% to $286 million, driven by 5% net price realization, 13% higher volume, and 2% from the ClorKing acquisition. Net sales increased 20% in the US and 23% in Canada. The robust volume increase in the quarter was driven primarily by strong in-quarter demand plus increased early buy demand for the upcoming 2025 pool season. Gross profit margin increased 310 basis points to a robust 54.2%, and adjusted segment income margin increased 500 basis points to 36.7%. Turning to Europe and the rest of the world, net sales for the quarter increased 2% to $41 million. Net sales benefited from 1% favorable net pricing and 2% higher volume, partially offset by 1% from foreign currency translation. Net sales in Europe increased 1%, and the rest of the world increased 2%. Gross profit margin was 31.4%, and adjusted segment income margin was 12.8%. Turning to slide twelve, for a review of our reportable segment results for the full year. North America net sales increased 9% to $896 million, driven by 4% higher price and volume, plus a 1% contribution from ClorKing. Sales in the US and Canada increased 8% and 16%, respectively. We are encouraged by the improved performance in Canada. We delivered exceptional profitability with gross profit margins up 310 basis points to 53%, and adjusted segment income margin up 360 basis points to 32.5%. In Europe and the rest of the world, net sales for the full year reduced 8% to $156 million, with a net pricing increase of approximately 1% offset by 9% lower volumes. Sales in Europe reduced 1%, and the rest of the world reduced 16%. Gross profit margin was 36.2%, and adjusted segment income margin was 14.6%. We took steps throughout 2024 to improve the performance of this segment and are pleased to see signs of improvement in the fourth quarter. We expect our proactive actions, including appointing new senior leadership and simplifying the operating model, to result in improved sales and margin trends going forward. Turning to slide thirteen for a review of the balance sheet. Cash flow highlights. We are very pleased with the balance sheet improvement and strong cash flow performance during the year. Net debt to adjusted EBITDA improved significantly from 3.7 times at the end of 2023 to 2.8 times at the end of 2024, consistent with our target range of 2 to 3 times. Total liquidity at the end of the year was $360 million, including $197 million in cash and equivalents and short-term investments, plus availability under our credit facilities of $164 million. We have no near-term maturities on our debt. The term matures in 2028, and the undrawn ABL matures in 2026. Our borrowing rate benefits from $600 million of debt currently tied to fixed interest rate swap agreements, maturing in 2025 through 2028, limiting our cash interest rate on our term facilities to 6.4% in 2024. Our average interest rate earned on global cash deposits for the year was 5%. Overall, we are pleased with the quality of our balance sheet. Our business has strong free cash flow generation characteristics driven by high-quality earnings, which support continued growth investments. Cash flow from operations for the full year increased 15% to $212 million due to increased EBITDA on working. Full year 2024 CapEx of $24 million was below the prior year due to project timing. Free cash flow increased 22% to $188 million in 2024. Turning now to capital allocation on slide fourteen. As Kevin discussed, we maintain a disciplined financial policy and take a balanced approach emphasizing strategic growth investments and shareholder returns while maintaining prudent financial leverage. We continue to pursue additional acquisition opportunities to augment our organic growth in addition to opportunistic share repurchase. Turning now to slide fifteen for the outlook. We are introducing 2025 guidance reflecting sales and earnings growth driven by solid execution across the organization, positive price realization, and continued technology adoption. For fiscal year 2025, Hayward Holdings, Inc. expects net sales to increase approximately 1% to 5%, so $1.06 to $1.1 billion. This outlook reflects modest volume growth in nondiscretionary aftermarket maintenance with modest reductions in the more discretionary elements of the market, new construction, and remodel and upgrade. We expect a positive net price contribution of approximately 2% to 3% based on prior pricing announcements for the year. This does not include any new pricing actions that may become necessary as a consequence of the evolving tariff environment. We continue to evaluate the situation and will respond with appropriate supply chain and pricing actions as needed. Our business is seasonal. We expect normal seasonal strength in the second and fourth quarters, with the quarterly cadence generally consistent with the prior year. We anticipate full-year 2025 adjusted EBITDA of $280 million to $290 million. We also expect solid cash flow generation again in 2025 with a conversion of greater than 100% of net income at approximately $160 million. We are confident in our ability to successfully execute in dynamic environments and remain very positive about the long-term growth outlook for the pool industry, particularly the strength of the aftermarket. And with that, I'll now turn the call back to Kevin.
Kevin Holleran: Thanks, Eifion. I'll pick back up on slide sixteen. Before we close, let me reiterate how proud and thankful I am for the team's performance throughout 2024. We had a strong finish to a successful year with a fourth quarter that exceeded expectations. For the year, we returned to sales growth, delivering impressive margin expansion and strong cash flow, allowing us to fund our growth strategies. Looking forward, we expect continued sales and earnings growth in 2025 and are extremely excited about our longer-term prospects. We will be celebrating our 100-year anniversary throughout the year. I'm confident we have the right strategy and talent in place to drive compelling financial results and shareholder value creation. With that, we're now ready to open the line for questions.
Operator: Thank you. We will now be conducting a question and answer session. Participants using speaker equipment, it may be necessary to pick up your handset. One moment, please, while we poll for questions. Thank you. Our first question comes from the line of Nigel Coe with Wolfe Research. Please proceed with your question.
Nigel Coe: Thanks. Good morning, everyone, and congratulations on the 100th anniversary. Thanks, Doug. Yeah. Thanks for the question. So I just wanted to kind of maybe just dig in a bit deeper on the 13% volume growth in North America this quarter. You talked about strong in-quarter demand, but also strong early buy. So I'm just wondering if there's any way you can maybe dissect the strength in the early buy from the kind of in-quarter. And is there any impact on 1Q that we should consider on the back end of the strength we saw in 4Q?
Eifion Jones: Yeah. Good morning. Again, Nigel, it was a good quarter in North America. I mean, overall, as you mentioned, we were up volumetric 13%. It is best to say that we had a good in-quarter demand period in Q4. Early buy orders and shipments were up year over year. But it's really important to understand that we shipped proportionately less of early buy orders in 2024 than we did in 2023. Net price was a little bit stronger due to that in-season demand. So that has a positive impact upon the price. FX was a little bit better than expectations, which obviously positively affects translated earnings in North America for Canada. I think it's probably appropriate to say margins consequently due to price were stronger because of that in-season demand. Cash flow was stronger, enabling strengthening of the balance sheet throughout the quarter. It does set up, obviously, a bit of a stronger backlog coming into 2025 for the early buy component. But I would remind you that, you know, we continue to evaluate the environment as we step into 2025. And as we mentioned in our prepared remarks, we fully expect Q1 to be very similar structurally to the prior year.
Nigel Coe: Okay. No. That's helpful.
Kevin Holleran: Nigel, I'll just add that, you know, in Q4, there was some, you know, these aren't the circumstances that any of us necessarily look for. But there was some volume related to the hurricane activity in Q4 that had some impact on the stronger end-quarter demand that Eifion just touched upon. You know, I would just like to pause for a moment. And, you know, beyond Q4, to just put a finer point on some of the things on the achievements delivered throughout the year, you know, specifically on the commercial side, investing more in R&D and receiving industry accolades. While also delivering some high-value product new products to our pool owners. We did invest in sales and marketing to drive growth in some underpenetrated regions. We opened our first Hayward Hub. I hope that's the first of many in the Dallas Fort Worth market. We had launched an OmniPro app. And the ClorKing acquisition is a fantastic business presenting some nice cross-selling opportunities. Financially, all of that, as I said in my prepared remarks, drove net sales up 6%, 9% in North America, adjusted EBITDA of 12% growth in free cash flow of 22%. So gross margins, which I'm sure we'll talk about further here in the Q&A, delivering a record north of 50%, you know, is really something to be proud of. You know? So from a five-year standpoint, you know, this sometimes gets overlooked. But in over the last five now, we've delivered 7.5% CAGR on net sales, including 10% in the US, 11% with commercial pool, and adjusted EBITDA over that same period of 10% growth. So again, it was a great quarter. A strong year, and over the past five some nice growth numbers to be proud of.
Nigel Coe: Yep. No question. Thanks, Kevin.
Kevin Holleran: We'll come back to the hurricane impact, probably, a little bit in the Q&A, but I did want to touch on tariffs because we got some new headlines on the well, new we got some headlines on tape of tariffs in early March, China, Mexico, and Canada. Just wonder if you could just maybe remind us on, you know, where your import exposures are. I think there's a bit of China but no Mexico. So just maybe just to rebase this on where we stand today.
Kevin Holleran: Yeah. Let me touch on that. So, you know, I guess the first thing I would say is roughly 85% of North American net sales are produced in North America. The remaining call it, 15%, would be cost of goods sourced either directly from a facility that we operate in China or some products out of our European operations. So we have a good understanding, you know, from a cost of goods standpoint there. You know, it's a little harder to get our arms around completely would be tier two and tier three supplied components. Our supply chain team is working diligently, you know, to really get some clarity around that. Yeah. I know something came across this morning just before we went live on the call that we have fully digested yet, but, you know, as for China, there was 10% that took effect February fourth. We know exactly what that impact is from a tier one from our Wuxi finished goods. In terms of finished goods out of that facility, Mexico and Canada, you know, Mexico is really more of a tier two or a tier three. That we have some clarity on and continue to get more focused on that. So we don't believe at this point that there's much impact with Canada. Our understanding is some of the reciprocal tariffs that have been in the news. We don't believe at this point pool equipment will be impacted by that, Nigel. And then, you know, the steel and aluminum's I think more to be determined there, but we don't think that that's a sizable impact to our business either.
Eifion Jones: I would just add that there. Like, yep. I would just add, Nigel, you know, based on everything that we're learning, you know, we've demonstrated the ability in periods past to put price through. We're fully prepared to react with the price increase. To tackle any identified tariff cost impacts. So protect the guided profitability, we put in.
Nigel Coe: Great. Thanks, guys. Good luck out there.
Kevin Holleran: Thanks, Patrick.
Operator: Our next question comes from the line of Saree Boroditsky with Jefferies. Please proceed with your question.
Saree Boroditsky: Hi. Thanks for taking the question. So obviously, exiting the year with strong margin performance, but it looks like guidance implies about flattish EBITDA margins next year. Could you just talk about how you're thinking about gross margin performance and what are the puts and takes included in that outlook?
Eifion Jones: Yeah. Thanks, Saree. Good morning. What I would say, look, we had a great performance in 2024. Of the gross margin line and that the adjusted EBITDA line, you know, respectively grown gross margin. 240 basis points, adjusted EBITDA 150 basis points. A little bit better than we expected. When we look down the runway into 2025 and built our guidance and expectations around the year, I think it's really important to look at it from a two-year stack basis. So the midpoint of 2025, you know, the two-year stack for us is pretty good in overall conversion. We're above 40% sales to adjusted EBITDA margin conversion. Adjusted EBITDA growth rate is 7%. We've always talked about growth not being linear. We'll make some great progress. We'll invest make subsequent progress. But I think it, you know, you have to look at it over the medium term. We're really proud of both the conversion rates and the margin growth that we experienced in 2024, and we're taking a bit more of a pragmatic approach around 2025 with this particular point.
Saree Boroditsky: That's helpful. And then you probably had some color on the resilient nondiscretionary aftermarket, maybe weaker new and remodeled. Quantify how you're thinking about those markets given the limited volume embedded in guidance.
Kevin Holleran: Yeah. So, you know, as we look at kind of the and break down the net sales again, greater than 80% of our revenue is derived from the aftermarket meaning product that goes on a pool or to a pool that is already built. So we would say of that 80 plus percent that's in the aftermarket, there is a percentage of that that really goes to remodels and larger scale renovations. You know, that along with the, probably, mid to high teens of our revenue derived from new construction at this point, continues to be under pressure. We feel primarily, you know, through interest rates, elevated interest rates. But, again, you know, something north of 60% of our overall revenue, we would say, is very resilient. Nondiscretionary, and very reliable. As we look, you know, coming out of 2024, that's really what we saw in the full year 2024. And at this point, based upon permit data, that we keep a very close eye on, continue to be under pressure. We think at least for the first half, of 2025, that'll stay under pressure, kind of flattish to slightly down as what we see in that nondiscretionary elements of our business, Saree.
Saree Boroditsky: Appreciate the color. Thank you.
Operator: Our next question comes from the line of Andrew Carter with Stifel. Please proceed with your question.
Andrew Carter: Hey. Thanks. Good morning. Oh, I guess I wanna circle back to just kind of the good morning, the initial guidance. I get the two-year basis, and two-year, this is kind of just right kind of down the pike in terms of expectations. But if you look back at kind of the kind of take us through kind of 2024, SG&A was reset, higher warranty expense. Also, incentives underlined. So I was seeing that's fully built for no share. There's a lot of puts and takes in the gross margin performance, including a one-timer here in the fourth quarter. Plus Europe. So just kind of can you help us understand why the flow through just isn't stronger next year? Is it just stepped up SG&A? Are you expecting some gross margin pressures? You got the tariffs in there. Is it cross currency from Canada? Just any extra help here. Thanks.
Eifion Jones: Again, you know, I would say Andrew was taking a pragmatic approach. You know, the margin results in 2024 were better than expected. We got after quite a bit of our lean operational initiatives in the second half of last year, and we've gained improvement from those. We also were able to realize a little bit earlier synergy benefits into the ClorKing acquisition of the gross margin line. So all of these great results accumulating in 2024, you know, if you look at it from a two-year stack basis where we're ending 2025 is exactly where we, as an internal management team here, expect it to be. It's just a little bit accelerated into the 2024 period. Again, I would ask you to look at the two-year stack basis from the end of 2023 to the midpoint of our estimated guidance, say, for 2025, and look at the growth rates both of the gross margin line, adjusted EBITDA, and the flow through of sales conversion to EBITDA all within our expectations. We are making investments into the business. You're right to point out in 2024. We made investments into SG&A for particularly in selling side of the business, the customer experience side of the business, marketing initiatives. Obviously, we also acquired SG&A as a consequence of the ClorKing acquisition, and that will run rate full year through our 2025 results as well. You know, I have talked about publicly before, focusing our G&A down to the low twenties. You know, we were at 25% with corporate expenses in 2024. We're expected to come down in 2025 modestly. But again, I would rather segment each year individually. We had great success in 2024. Good modest guide in 2025 in terms of the implicit gross margin growth, but please look at it from a two-year stack basis, exactly how we expect in these two years to play out in terms of gross margin improvement and conversion rates to adjusted EBITDA.
Andrew Carter: Understood. And then getting on the working capital came in well ahead of your plus next year, it's pretty strong with still working on my math, but it's the working capital headwinds kind of de minimis almost. Kind of what's that coming from? Kind of just continuing to improve the working capital here. Surprised there's not it kind of I know that there's a there's there's an operational side you're taking some safety stock. Anything about, you know, kind of how lean your inventory is and just kind of the outlook for just how how working capital can kind of stay this high. Thanks. Or not sorry. Oh, free cash flow conversion stay this high. Oh, just.
Eifion Jones: Yeah. Okay. Look. Absolutely. Look. You know, we've had a very focused mission several focused initiatives around working campus improvement. You know, we evaluate working capital on the metric of cash conversion. And we saw a stat improvement in reducing our cash conversion cycle, which is, you know, our AR days plus our inventory days minus our accounts payable days. In terms of our inventory days, you know, we step down eight full days from the end of 2023. The end of 2024. Again, a lot of focus around inventory, make sure we have the right products at the right time and the right place. You've heard me say that before. Have several discreet initiatives. I'll call out SKU rationalization initiative, which is enabling successful inventory reductions. But I'd also call out our net accounts receivable accounts payable days also took a meaningful reduction year over year. We reduced over eleven days in terms of that net metric. So you know, we continue to see good cash use from working capital initiatives. Again, we're thinking 2025, we've got more work to do and more results to achieve here. And the team is very much focused. I'll shout out to the collective Hayward Holdings, Inc. team here an appreciation of what they achieved in the 2024 working capital productions.
Kevin Holleran: I'll just point out, Andrew, that while doing all of that, you know, we really take very seriously our ability to supply the market and be able to get product, you know, in reasonable lead times to our, you know, to our commitment. So while continuing to work on driving working capital down, you know, the overall mission is to continue to be a supplier of choice and hopefully continue winning some of these operational excellence accolades from our channel partners.
Andrew Carter: Thanks. I'll pass it on.
Kevin Holleran: Thanks.
Operator: Our next question comes from the line of Mike Halloran with Baird. Please proceed with your question.
Mike Halloran: Hi. Morning, everyone. So just clarifying how it icing you made I think in response to an earlier question on the seasonality impact of the prebuy, I think you mentioned that the prebuy take rate was lower in 2024 than it was in 2023. So just could you clarify what you mean by that? And then related, is the thought process then that the cadencing of how prebuy is works through in the front half of the year relatively normal versus history? Is that the thought process? Assuming things are relatively stable from a demand volume perspective?
Kevin Holleran: From an early buy standpoint, you know, we were pleased with the participation that we saw from our channel partners there. It was incrementally higher year on year. And as I think Eifion mentioned in the first response, was that from a percentage standpoint, we shipped less of that in 2024 than we did in 2023. So that presents us with, you know, the luxury of having a slightly larger backlog starting the new year. But as you know, you know, never do we have an order file that covers the entire quarter? And as we're moving into March, we're all looking for a warming trend, you know, across our markets. So what else can we answer for you on the early buy in how that seasonality plays out? Again, Q1 we're expecting normal seasonality. We don't guide quarterly. As you know, Mike, but we you know, Q1 is one of the softer quarters as sales out, you know, is less than it is. In Q2 and Q3. So we're calling, you know, again for Q1 to be on that seasonal normality, somewhere in a in a 20% range of what our of what our full year debt sales guide.
Eifion Jones: I would add Mike. That. I just added one last point here. Typically, when we get into Q1, which is seasonally the lowest quarter of the year, we do some campaigning. And you know, that's been a legacy construct of how we approach Q1. With a as Kevin said, the luxury was slightly larger backlog coming into the quarter due to less shipment of early buying 2024 than prior year. You know, we may not do as much campaigning in Q1 as normal. But overall, I would just guide you to a very typical Q1 as a percentage of overall sales, which is typically 19% to 20% of full year sales.
Mike Halloran: Right. That was super helpful. And then second one, if you if you I know I know the Housing starts are at the bottom or so the new pools of new construction is at the bottom here. If you look at the take rate on the housing starts side of the things or the attachment rate of pools on new homes, do you see any noticeable differences you work through the year? Probably a little bit too short of a sample size, but curious if you're seeing a relatively typical percentage of new homes with pools or if you've seen any disassociation versus history given the mix of the of the house size is moving a little bit lower right now?
Kevin Holleran: Yeah. As you know, Mike, there's been high correlation historically between single-family home starts, and new pool construction, even more so when it's staggered one year. I would say that attach rates as we look back on 2024, and, of course, we don't know that yet that final new construction number. But assuming it's in that 60,000 range, we would have seen that attach rates become less. In 2024. You know, what we're starting to do more work on, and I think this became more clear to us from a BI standpoint, is that another big driver of new construction is not just single-family home starts, but existing home turnover. And as you know, that was at much lower levels in 2024. And I believe that has as much to do with this with that lower number of new pools being built last year as anything.
Mike Halloran: That's helpful. I really appreciate it. Thanks all.
Eifion Jones: Excellent.
Operator: Our next question comes from the line of Jeff Hammond with KeyBanc. Please proceed with your question.
David Tarantino: Hey. Good morning, guys. This is David Tarantino on for Jeff.
Kevin Holleran: Morning. I'm legit.
David Tarantino: Just to follow-up on the in-quarter demand commentary, could you give us some color on what you think sell-through trends look like and what was driving it? Is it mostly the repair benefits from recent hurricanes? Any color there would be helpful.
Kevin Holleran: Yeah. I do think that hurricane had some benefits. A large channel partner, you know, had indicated just last week that that in-quarter growth in the Florida market was meaningful. Which I believe does point to some of the repair activity that occurred in Q4 in that market specifically. So yeah. So I would say hurricane activity did have an impact, you know, for us in terms of shipments, we prioritize order inflow that was keyed to that region. In the fourth quarter was the highest priority. Shipment for us. So we were looking to support the homeowners and the rebuild. And repair activities in the impacted areas, Dave.
David Tarantino: Okay. Great. Thank you. And then could you give us your thoughts on the margins in international moving into 2025? Maybe size the impact of the inventory noise and what gives you the confidence that that goes away. And then maybe just give us some color on what you think kind of the longer-term margin entitlement is here with margins well off the peak.
Eifion Jones: Yeah. I'll take that one, Dave. Good morning again. Yeah. Look. We know, we had some compression in Europe. The rest were margins in 2024. Some discrete inventory items about the Q3 and Q4, which were one-time events which won't repeat. They weren't material, so they're not gonna be a big needle mover overall for the full-year type margin, but they did impact scrutiny those particular quarters. We are looking at margin growth year over year in Europe and the rest of the world. At the gross profit line, as Kevin mentioned in some of his remarks, we have targeted here some initiatives, consequential to leadership change, consolidation of manufacturing footprint, focus on the product line we're selling in that particular region. And looking at bill of materials and cost structures there. So it's quite a lot of activity. Don't think we're gonna see a step change in margin in 2025, but it will grow. We do have ambition to close the gap. Between aggressively close the gap between Europe and the rest of the world, but it's got some structural differences as a market. Which, you know, will never make it in our opinion. And equating margin structures to the North American market. But there are projects underway to progressively close the gap. Excuse me.
Kevin Holleran: I feel in some ways that 2024 was really kind of a transitional year. For Europe and the rest of the world business some of the things that Eifion just touched on, you know, were undertaken and we're still yet to see full benefit from with some leadership changes and bench strength, we do have an expat in the lead supply chain role. I think you're aware, David, that we consolidated facilities one out of the Greater Madrid area into a consolidated location in Barcelona. There were some fits and starts through the year there. We altered the chief engineering role to be a global role. Which is gonna drive some nice new product introduction in the region there. And then just ongoing operating model simplifications in addition to that footprint that I just mentioned, you know, some back-office standardization consolidating some G&A into a single location, and we exited one underperforming business, which presented a little bit of top-line headwind in 2024. So we're not sitting still. We're not pleased necessarily with the overall net sales or the margin performance in 2024. And that's gonna progressively get better moving forward.
David Tarantino: Okay. Great. Thanks for the time, guys.
Kevin Holleran: Thanks, sir.
Operator: Our next question comes from the line of Brian Lee with Goldman Sachs. Please proceed with your question.
Nick Cash: Good morning, everyone. This is Nick Cash on for Brian. How's everyone today?
Eifion Jones: Hi, Nick.
Nick Cash: Hey. Just wanted to follow-up on just a little bit on the SKU rationalization last quarter, you mentioned retiring some lower tech or redundant products. You be able to give any more color on if this is more so US or rest of world, or could you quantify at all if this is or how much of a headwind this could possibly be to top line in 2025 or potential margin tailwinds as well. As also this ongoing or is this more first half versus second half or just how do we think about that? Thank you.
Eifion Jones: Yeah. Certainly. Not expected to be a headwind top line. We're doing this very much to improve the quality of our earning structure inside the income statement and continue to have a more agile and lean working cap position, particularly, obviously, inventory. You know, we're into the program of SKU rationalization. We've been in there now for about eighteen months, then you two years. We've made initial good progress. Looking at all aspects of our SKU structures, both of the finished good level and at the raw material level. We continue to focus on moving out legacy finished good products and promoting, obviously, the more current technology-based products. Again, with no negative implications to the top line. We obviously have to keep some legacy products for warranty purposes. When we get to raw materials, our raw material structures continue to look to be rationalized. Provide more common platforms. We're looking at that across the globe all of our manufacturing facilities. What can we do to have common raw materials, what we do to have common web platforms, all of those initiatives are in play, and they will be accretive over the course of time. Through the gross margin. But, not giving specific guidance around how it implications 2025 other than to say that this is, you know, this is an initiative that's in play and will be accretive over the course of time. Hopefully, to the top line, as we promote all technology-based platforms in finished goods. As well as opening up the margin as we get away from legacy raw material and web structures.
Nick Cash: Awesome. Thank you. That's it for me.
Eifion Jones: Appreciate it.
Operator: Our next question comes from the line of Rafe Jadrosich with Bank of America. Please proceed with your question.
Rafe Jadrosich: Hi. Good morning. Thanks for taking my question. Ask a few questions on the 2025 guidance assumptions. Can you just give a little more color on what's assumed for North America versus international? Also, what's the M&A carryover that we should expect for 2025? And then is there any channel assumption changes? Should we think it's that volume growth is all sell-through or is there any restock or destock included there?
Kevin Holleran: In terms of ClorKing, there's about 1% in our guide carryover. That was closed right at the end of June in 2024, so half year will carry over. In terms of channel inventory, you know, we would say that as we work with our channel partners, after having some additional or some modest reductions in their inventory positions in 2024. What we're hearing back is that they're pleased with current levels days on hand? And then we're not expecting really anything one way or the other in our guide from a channel inventory perspective in 2025, Rafe. As for segments, I'll turn that head over to you.
Eifion Jones: I mean, the way our guidance breaks down, you know, overall, it would 2% to 3% price expected. So the pricing dynamic in North America will be higher than in Europe and the rest of the world. And the FX implication, which is a minus 1% overall to Hayward Holdings, Inc., will be a little bit more weight negatively towards Europe and the rest of the world. So when you think about midpoint guidance, overall behavior at 3%, I'd say higher in North America and lower in Europe, the rest of the world by roughly single-digit movements between the two.
Rafe Jadrosich: That's really helpful. And then just can you remind us this for your how long your warranty typically lasts? And then, you know, when you had, you know, really strong volume in 2021, 2022. Are we coming to the point now where a lot of products are starting to come off warranty and there's a replacement opportunity that would either benefit you in then 2025 or maybe even as we go into 2026?
Kevin Holleran: There's some differences, but I would say three years when products sold, you know, through the trade and then some of our W3 product line, which would be SKU specific, for omnichannel or for online sales, Rafe. That's really more of a one-year warranty period on those SKUs. So, yeah, with a three-year, I think we're starting to move through that standard three-year warranty period on some of the product that was placed, you know, call it late 2020. When the pandemic really started impacting market volume. So we would expect that to start to come due, you know, in the coming years.
Rafe Jadrosich: Very helpful. Thank you.
Kevin Holleran: Thanks, Rafe.
Operator: Thank you. Mr. Holleran, we have no further questions at this time. I'd like to turn the floor back over to you for closing comments.
Kevin Holleran: Great. Thanks, Christine. In closing, I'd like to sincerely thank all our dedicated employees and valued partners around the world. Your hard work, passion, and unwavering commitment are the driving force behind our success. We've built a strong foundation for growth and value creation in our first hundred years, and I couldn't be more excited about the opportunities that lie ahead. Please contact our team if you have any follow-up questions, and we look forward to talking to you again on the first quarter earnings call. Thank you for your interest in Hayward Holdings, Inc. Christine, you may now end the call.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.